Robyn Grew: Good morning, everyone. Good morning and thank you for joining us today. I’m Robyn Grew, the CEO of Man Group, and I’m joined by our CFO, Antoine Forterre. As usual I’ll start with some highlights and then Antoine will take you through the numbers. After that I'll talk about the strengths of our business and provide an update on our early progress against some of the multi-year strategic priorities I outlined earlier this year. We'll finish with Q&A. As a reminder, to ask a question today you'll need to access this presentation via the Webex link rather than the dial-in option. For those of you who are new to Man Group's story, we're a global alternative investment management firm focused on pursuing outperformance for clients via our Systematic, Discretionary, and Solutions offerings. Powered by talent and advanced technology, our single and multi-manager investment strategies are rooted in deep research and span public and private markets across all major asset classes with a focus on alternatives. It is these strengths that have helped us to grow significantly over the past few years and underpin another strong set of financial results for the first six months of 2024. We've started this year well delivering for our clients in a market environment driven by the evolution of forward interest rates, expectations of technological disruption and the outcome of elections globally. We generated absolute investment performance of $11.1 billion with a broad range of strategies contributing positively. Despite periods of short-term market volatility across asset classes, our absolute return strategies delivered solid gains for clients. For context, our flagship multi-strategy alternative offering, Man 1783, was up 13.3%. Our total return and long-only strategies also generated strong returns over the period helped by positive momentum in equity markets. 2024 has remained a challenging period for fundraising in the asset management sector as institutions grapple with reduced realizations from private equity allocations and of course higher interest rates. Nevertheless, we continue to make progress building deep and long-term relationships with asset allocators and distributors around the globe. Total net inflows were $900 million for the period or 1.8% ahead of the industry and I'm pleased that we've continued to grow our market share. We ended the first half of the year with $178.2 billion of assets under management. This was 6% higher compared with the 31st of December 2023, reflecting another period of organic growth. Meanwhile, core management fee earnings increased by 26% to $0.11 per share, highlighting the quality of the business we have built. Total core earnings per share of $0.71 also reflect higher revenue from performance fees in the first half of the year. The board has declared an interim dividend of $0.056 per share in line with our guidance. As we've said previously, although our policy is progressive, we will keep our interim dividend fixed until we reach an interim versus final dividend split in line with the market and therefore any progression this year will come through in the final dividend. Turning to investment performance, I'm proud that we continue to deliver for our clients, generating overall gains of 8.7%. Alternative strategies return 6% with particular strong gains from Alpha, Dimension, and Alternative Risk Premia. After an excellent start to the year, Evolution which charges performance fees at the end of June, gave back some of its gain amid the increased political uncertainty in Europe. While this dampened returns, the strategy still ended the period in positive territory. On the long-only side, our diversified range of strategies generated overall investment performance of 12%. I've said previously that the ability to deliver outperformance and scale is one of the most exciting challenges ahead of our industry and I'm delighted that our overall relative investment performance in the first six months of the year continue to be positive. On an asset weighted basis, we were 2.1% ahead when compared with similar strategies offered by other investment managers. This outperformance was achieved across a broad range of our strategies with notable strength from the systematic long-only range. Our discretionary credit offering also performed strongly, particularly our Sterling Corporate Bond strategy which returned 8.8% above its benchmark. These outcomes are a real testament to the skill of our investment teams, the talent across the entire firm and our culture of collaboration that just delivers the best outcomes possible for our clients. As I mentioned previously, total net inflows were just under a billion dollars and client activity remained strong during the first six months of the year despite an increase in outflows during the first quarter as a small number of large institutional clients rebalanced their investment portfolios or redeemed from low margin infrastructure mandates. As we've said before, the institutional nature of our business can result in some variability or lumpiness in the near-term net flows. To this point, we don't usually comment on future flows but I did want to flag that our third quarter will include a $6.7 billion redemption from a single client in systematic long-only following the strategic decision by them to switch their entire global equity allocation across all managers to a passively managed index-based portfolio. It will have minimal impact on profits given the relatively low net management fee margin of 21 basis points and Antoine will provide additional details in his section. What isn't apparent on this slide is that our gross inflows for the half were exceptionally strong. And I'm optimistic that we remain well positioned to benefit from the structural trends in asset management towards more alternatives, liquidity, credit and customization. Our clients have confidence in our ability to manage and grow their assets and to help them to navigate a range of market conditions. Our breadth of investment strategies, quality of institutional resources and commitment to partnering with clients to build solutions at scale continue to be key differentiators. I'll now pass on to Antoine, who will take you through the numbers. Over to you.
Antoine Forterre : Thank you, Robyn, and good morning everyone. As usual we'll start with some financial highlights before covering our AUM, P&L and balance sheet. In the first half of 2024, we recorded net revenue of $761 million and net management fees of $551 million, 20% higher than the same period last year. This includes the effect of the acquisition of Varagon which completed last September and is progressing in line below expectations. Robyn will provide an update later. Performance fees were also higher at $170 million with both alternative and long-only strategies contributing. In addition we recorded $39 million in investment gains which highlights the direct economic benefits our seeding portfolio can add for shareholders. Fixed cash costs increased to $202 million in the period, driven by an increase in headcount following the Varagon acquisition and planned targeted investments to support our strategic ambitions. The compensation ratio decreased to 47% however within our guided range. As a result core profit before tax increased to $257 million from $137 during the first half of last year, reflecting the merits of the diversified business we have built. We continue to have a strong and liquid balance sheet with net tangible assets of $779 million as at the end of June and seed investments of $549 million. As Robyn mentioned, we finished the period with AUM of $178.2 billion. This was $10.7 billion higher than last December driven by positive investment performance of $11.1 billion and net inflows of $0.9 billion, partially offset by negative other movements of $1.3 billion. Investment performance was positive across all categories. We were pleased to see net inflows overall in a market that remains difficult. We saw net outflows of $2.6 billion from alternatives as a small number of large institutional clients rebalanced their investment portfolios, all redeemed from a low margin infrastructure and direct access mandates. However within the category we continue to see good demand for institutional solutions, risk parity and risk premia strategies. Our clear strengths and extensive experience in helping clients navigate complexity continue to be a differentiator. Net flows into long-only of $3.5 billion were pleasing to see driven by a discretionary liquid credit offering which continues to grow at pace. Other impacts were negative primarily from FX movements as approximately 40% of our AUM is non-US dollar-denominated. As a result, strong AUM growth of run rate net management fees increased by $41 million to over $1.1 billion at the end of June. This continuing growth materially increases the future earnings potential of our business. As I've said before net management fee margins are an output of the underlying mix of assets we manage. During the first six months of the year we saw relative growth in AUM from long-only strategies which are typically lower margin. This is the main driver behind our margin of 63 basis points compared to 65 basis points at the end of last year. You will remember that we experienced the opposite effect in the second half of last year. We did not target a specific net management fee margin and remain focused on generating profitable revenue growth across our product categories. We are pleased to have delivered on that in the first half of this year with an increase in both profits and profit margin over the period. For the avoidance of that, the run rate figures on this slide exclude the impact of the $6.7 billion systematic long-only redemption expected in Q3 which accounted for $14 million in run rate net management fees as of the end of June. Moving on to performance fees. Performance fees of $170 million for the period comprise $165 million from alternative strategies and $5 million from long-only strategies. Both our institutional solutions and multi-strategy offerings contributed significantly to performance fees during the year. This highlights the progress we have made diversifying our business. It also demonstrates a significant benefit to our shareholders from solutions mandates with a range of performance fee crystallization dates during the year. Separately, we generated gains on investments of $39 million, roughly half of which came from our seed positions and credit strategies, taking total seed gains since the beginning of last year to nearly $19 million. At the end of June we had $54.4 billion of performance fee eligible AUM with roughly 70% at or above high watermark. As you can see on the slide the decrease in overall performance fee eligible AUM relates to a small number of long-only mandates where a single client opted to switch to paying higher management fees. As at the 24th of July, we had accrued roughly $150 million of performance fees due to crystallize in 2024 in our funds. As a reminder, this number is not a forecast or a guidance but a snapshot of the position at a point in time. The amounts that crystallize will therefore increase or decrease based on the performance of the underlying funds over the remainder of the year. Turning to costs. As I mentioned earlier, the increase in fixed cash costs were largely driven by the Varagon acquisition and targeted investments to support our continued growth. The strengthening of most currencies relative to the US dollar, particularly sterling, also increased fixed compensation and core other costs compared with last year. Variable compensation costs increased to $224 million as a result of an increase in performance fee revenue generated in the year taking the overall compensation ratio to 47%, near the middle of our guided range of 40% to 50%. As you will be aware, our previous fixed cash cost guidance of $425 million for 2024 assumed a dollar sterling FX rate of 1.27. Adjusting this guidance for the H1 actuals and current FX rate of 1.29 results in an unchanged guidance of $425 million for 2024 with approximately 60% of our fixed cash costs incurred in sterling. The first half was another period of underlying growth for our firm with higher assets under management and growth in core net revenue. Core net management fees were 20% higher when compared with last year. Together with continued cost discipline and reduced share counts this resulted in 26% increase in core management fee earnings per share. Total earnings per share increased by 92% to $0.171 driven by solid performance fee generation during the period. In summary, we entered the second half of 2024 in good shape with run rate net management fees of over $1.1 billion, $38.5 billion of performance fee eligible AUM at high-water mark and significant operating leverage, thanks to the strength of our platform and our investments in technology. Our balance sheet remains strong and liquid. At the end of June, we had $779 million of net tangible assets of $0.61 per share and net financial assets of $411 million. We continue to deploy capital to invest in new strategies with gross seed investments of $807 million, $549 million of which were on balance sheets at the end of June. As you can see, this is a diversified portfolio of investment strategy across alternatives and long-only in liquid and private markets. Our seed capital program continues to be a key way for us to support new launches and our pipeline of ideas remains strong. We manage this portfolio actively and have deployed over $200 million on a gross basis during the first half of the year. As part of this, we seeded six new strategies including $18 million [due to] grow to $50 million, to support Varagon with the launch of a new Varagon strategy. As I mentioned before we consider the most efficient financing available to seed investments including fund financing and using our Evergreen credit facility. The strength and flexibility of our balance sheet allows us to invest in the business to support a long-term growth, evaluate M&A opportunities and ultimately maximize shareholder value. Our business is highly cash generative and these cash flows also support consistent and growing capital returns to shareholders. Including the interim dividend proposed today and the $50 million share buyback currently in progress we have returned roughly $115 million to shareholders in the first half of 2024. This takes the total capital return over the past five and a half years to $1.9 billion. Our share count has reduced by 23% since the beginning of 2020 which means our shareholders received $0.30 more per share on $1 earnings today. Our capital policy has served us well balancing growth investments with distribution to shareholders at the time and it will continue to support the strategy in this next phase. To conclude, the strong results demonstrate our ability to deliver for our clients, highlights the benefits of our talent and technology, and most importantly demonstrate the quality and potential of the firm we've built. And on that note, let me hand back to Robyn.
Robyn Grew : Thanks Antoine. Let me carry on with political developments, I guess. Political developments around the world, macroeconomic dynamics and lower private equity realizations are creating new challenges that our clients need to grapple with. More than ever investors need forward thinking and adaptable strategic partners to join them on their long-term journey. The ability to navigate complexity and deliver superior performance for a range of customized solutions is where we see opportunity for growth going forward. We're one of the largest global liquid alternative managers with over $100 billion of assets in quant strategies and over 35 years of experience investing in alternatives. This year we've generated investment performance ahead of our peers which together with our long-term track record reinforces my belief that we are well placed to deliver in the future. We make a conscious effort to listen and respond to our clients providing them with a single point of contact that understands their unique requirements across a range of market environments. That is one of the reasons why we have consistently grown our market share. You've heard me say before that our solutions offering is truly differentiating as customization and transparency become increasingly important to sophisticated allocators. At the end of June nearly $115 billion of our AUM was customized to some degree and we managed over $17 billion in Man institutional solutions which is the most tailored version of what we offer. A key reason we've been successful in this area is because of our competitive advantage in technology and data which is just hard to replicate. Due to the early continuous and significant investment in our central platform, we can deliver for the world's largest institutional investors. Quite simply, it enables us to operate and grow efficiently, flexibly, at speed and scale, generating better outcomes for our clients and value to our shareholders. Earlier this year I outlined our long-term strategic priorities, each of which represent a significant exciting growth opportunity for us. As a reminder, we aim to further diversify our investment capabilities, notably, credit, quant equity and solutions and to extend our client reach with particular emphasis on wealth, North America and insurance channels, all while leveraging our existing strengths and scale. While these are not overnight wins we're pleased with the progress we have made already. I don't plan to cover all our initiatives today but I will give you some examples. One of the key features of our strategy is to add to our range of investment strategies and solutions by on-boarding talented specialized teams. We've made real progress growing our credit platform recently. As you can see from the chart, our credit offering today is broad with both alternative and long-only credit strategies run on a quantitative and discretionary basis across public and private assets. Our liquid credit strategies have grown strongly recently, and as I mentioned earlier, continue to perform extremely well. The strong client demand seen during the first six months of the year continues. And the pipeline of interest for our credit risk sharing strategy which manages securities referencing high quality loan portfolios is also healthy. We allow our specialist investment teams to have independent views and focus on the opportunities they identify through bottom-up research to deliver for our clients without being constrained by a house view. We also use scale to our advantage with each of our 15 teams leveraging the firm's distribution capabilities, advanced central platform, data science expertise and quant tools to aid their investment processes. As the credit market continues to grow in attractiveness to the world's largest institutions, we will aim to grow our existing capabilities and explore the potential to add new capabilities either organically or inorganically in order to maintain our relevance with clients. M&A is a core part of our strategy and last year we were delighted to announce the acquisition of Varagon, a US-based private credit manager, adding high quality direct lending capabilities to our offering. As you may be aware, Varagon focuses on senior secured loans with multiple covenants to cash generative high performing sponsored back companies in non-cyclical industries. It typically serves as a lead or co-leading lender with superior origination capabilities and a strong track record of underwriting discipline. This year, our portfolios continue to generate stronger outperformance for clients demonstrated by resilient underlying KPIs, and realized losses below the industry benchmark. The integration of Varagon business continues to advance smoothly with fundraising initiatives and product development plans progressing in line with, quite frankly, if not ahead of our plans. We expect to launch an Evergreen private credit strategy later this year seeded by existing Man Group clients with origination activities supported by a warehouse facility for the firm's balance sheet. This is a great example of how we are bringing together our extensive distribution network, operational expertise and institutional resources to support Varagon with its continued growth. Our global distribution network is one of our key differentiators and building our presence in markets where we are underweight will be an important driver of future growth. The projected growth rate of the wealth segment makes it a particularly attractive channel for us, given that we're able to combine our sophisticated product development capabilities with local distribution expertise to democratize access to high quality, high scale alternative investment strategies. We've made good progress so far, we've launched dedicated products for specific markets, active ETFs, for example. We’ve deepened our relationship with intermediaries, we've strengthened our wealth-focused sales team and announced joint ventures to amplify our footprint. Our JV with Fideuram - Intesa Sanpaolo is off to a good start. In the first half of the year we launched the initial wave of products under the Asteria brand raising over $500 million in AUM. To drive nimble and efficient execution of our strategic objectives, we also ensure that we align our resources with our strategic goals and our new organizational structure reflects that commitment. The reorganization around our core competencies of systematic, discretionary, and solutions enables us to deliver customized solutions to clients more efficiently. Bringing together all our discretionary investment content under one division facilitates freer cross-pollination of ideas particularly in credit and makes the firm easier to understand and navigate. And the feedback we've received from clients reflects this. Earlier this month, I was speaking to a large wealth platform on the East Coast who said they find it challenging to allocate to asset managers with many underlying brands. It's difficult for them to understand the priorities of each sub-brand and how they relate to the firm's overall objectives. It's much easier for clients to think of us as Man Group, offering a diversified range of investment content that will help investors to solve their more and most complex challenges. It's also important to remember that our investment capabilities are underpinned by our advanced central platform, data science expertise, and contours which enables us to stay nimble and to evolve in line with financial markets and our client’s needs. Continuing to build our core business and executing successfully against our long-term strategic priorities offers a clear value proposition with significant potential for our shareholders. We have a unique edge that comes from combining top talent, state-of-the-art technology alongside a collaborative culture that promotes diversity of thought to drive better outcomes for clients. We have exposure to segments of the industry that are expected to benefit from increased allocations over time and we have a track record of capturing market share and delivering consistent growth in the long run. I've talked about the strengths of our platform before and I can't emphasize enough how much it enables scalability, flexibility and efficiency. We've built a business model that benefits from significant operating leverage which supports the potential for greater profitability as we grow. The final aspect is that our business is highly cash generative supported by a disciplined capital framework that is focused on generating value for our shareholders. Our positive momentum continues as we enter the second half of the year supported by solid returns across our investment strategies, a high level of client engagement and good progress against our strategic priorities in line with our expectations. We offer a diversified range of investment strategies and solutions underpinned by our high quality talent and cutting-edge technology that are highly relevant to our clients as they try to grapple with volatile markets. The business is in great shape and we continue to be focused on generating investment performance irrespective of market conditions, partnering with clients to find solutions that meet their needs and building market-leading alternative investment management business that is run for long-term success. I have full confidence in our ability to continue to grow and to deliver for our clients and for our shareholders. With that, we’ll open up for analyst Q&A.
A - Robyn Grew: [Operator Instructions] And with that, we'll look for questions. Thank you very much.
Antoine Forterre : [Arlo], I'm unmuting you.
Unidentified Analyst : Hello, can you hear me?
Robyn Grew: Yes, we can.
Antoine Forterre : Morning, Arlo.
Unidentified Analyst : Hi, good morning. Yeah, thanks. I've got three questions, please. Firstly, could we start with Varagon? I was just wondering if you could break out the net flows for me since you've acquired the business and have you seen any new clients actually buying products? You also talked about launching into private -- was productive in private credit. I'm just wondering if you could give a bit more detail around which warehouses are signed up, how's the distribution looking, what's it set up there? And finally, clearly a strong H1 for performance fees with a strong outlook for H2. I'm just wondering how you're thinking about buybacks? Thanks.
Antoine Forterre : So I’ll start with the last one. We have still around $11 million of buyback outstanding, which take us towards the end of Q3. And so, as our policy dictates, we'll complete that and then consider alternative use of capital with our board towards the end of the year.
Robyn Grew: Then do you want to talk about net flows?
Antoine Forterre : Talking about Varagon’s integration, Varagon is progressing well. And you might recall that at the full year we talked about the process. And we've now met with or we had over a thousand meeting with clients, and I think 400 or 500 of them with PMs. The flows will really be in the second half in this Evergreen Funds that Robyn mentioned in our section. And just to clarify the point, it's an institutional offering, it's not a wealth offering yet, this Evergreen strategy. So, the first clients that will come in will be long-standing non-institutional clients and I would expect you to fund within the next quarter or two. Thank you, Arlo. David, you should have a request, do you?
Robyn Grew: David, can you unmute? Let's move to --
Antoine Forterre : Samath.
Robyn Grew: Yes, Samath, can you unmute? We'll go to you.
Antoine Forterre : You should be able to ask your question, Samath.
Unidentified Analyst : Yeah. Are you able to hear me?
Antoine Forterre : Yes.
Robyn Grew: Yes.
Unidentified Analyst : Yes, awesome. So first, two or three questions. First, just wanted to get on -- an update on, I mean, how the launch of Varagon’s vehicle is progressing? I believe it was supposed to be launched in July. And related to that, how have been your discussions with clients over the past few months? And if you could give a sense around the asset levels that you are targeting over the next six, seven months. So, that's the first question. The second question is around your customized strategies. Okay, so I heard $115 billion AUM is customized to some degree. Could you give a sense around how these customized strategies or AUM in these customized strategies have grown over the past one year or three year? And is the growth largely driven through incremental allocations from existing clients or are you getting interest existing clients or are you getting interest from new clients and perhaps more complex customizations as well? The third question is on partnerships. So, you launched Asteria JV. Are you planning to launch similar products with other partnerships as well or just wanted to get around the sense about assets from those new partnerships over the next six to twelve months? Thank you.
Robyn Grew: So Varagon?
Antoine Forterre : Yeah. And thanks for the question. I'll start with the first one, which is on Varagon. So, the structure you're talking about is this Evergreen Fund strategy that should launch later in Q3. It will be seeded by existing institutional clients. We, as you know, don't give guidance on flow, so we don't give sort of targets necessarily, but we expect it to start showing numbers by the end of the year.
Robyn Grew: Just and adding on to that, I think it's an interesting thing, the view about it being somehow it was targeted for July. Actually, I don't think we've ever thought that, but we're very happy with the progress we're making in that space. And the only thing I would add to it is that the conversations, rather than talking about expected flows, the conversations around credit, both in the private and the public space, have been incredibly strong and good across the board, quite frankly. Let me take, I think, the last question that you had, which was on partnerships, which is in similar format. As you know, the Fideuram partnership we announced, but we've also, as you know, got partnerships even in existence in Japan with SBI. We have partnerships in the US, American Beacon. So, the partnership piece is something we have continued to say we would look for. Especially in the wealth space, we work very carefully to ensure we partner with the very best that we can, and we believe in that, one of the fastest growing segment. We have a real value to bring in democratizing access to the alternative investment space, and certainly that's the messaging that we're getting back from platforms right now. So, yes, I think you should expect us to be partnering with more platforms, high quality platforms, in the future.
Antoine Forterre : And then on customization, so just a reminder, out of the $178 billion of asset that we have, around two-thirds of what you mentioned is customized in some shape or form. What that means is it could be the dedicated vehicle, it could be white label, the content can be altered. Within that mix, we also have around $17 billion of what we call institutional solutions, which is the sort of most customized offering that we have, which is targeted at large institutions. And what we've seen over the last few years, and you see in the release here as well, is steady growth in institutional solutions by a combination of top-ups, incremental allocations, as well as new mandates being launched. As of a year ago in June ’23, we had less than $15 billion, that's now $17 billion, so that shows the growth that you're seeing in that category, which has several benefits. I talked about one, which is a diversification of full fee stream that it brings, but also what we've experienced is a slightly lower redemption rate in those heavily customized solutions, because the partnership nature of them. And that's the theme that we continue to see and expecting the roll out pipeline is, and remains in institutional solution. Thank you.
Robyn Grew: Thank you.
Antoine Forterre : Mike, you should have a request to unmute. Hi, Mike.
Unidentified Analyst : Hello, thank you for the presentation and the chance to ask a question. I just got one, to be honest. We saw, you know, an uptick in outflows in Q1, driven by, as you mentioned, a couple of decisions by a handful of institutional clients to reallocate their portfolio. You indicated that you'll see a large mandate loss in Q3. Now whether this is de-risking from pension funds or move to passives, is this an increasing trend? I mean, look, these trends have been around for some time, maybe not the de-risking side, but certainly passives. And (a), is this something where you're seeing this kind of migration away from active accelerating? And then, (b), what is Man Group doing to defend against this shift in allocation? Thank you.
Robyn Grew: Thank you for the question. I think the reality is that there's certainly a move into passive. There's certainly some version of that, but I can tell you that I was sitting down a month ago with actually -- sitting down with a large allocator who was talking about doing quite the opposite, was moving out of passive and into active. We believe that there is a strong desire and we are seeing strong interest in alternative investment management and liquid alternative investment management. And you can see that there are, we have high conviction, for example, in our long-only systematic equity strategies, which we're returning as 500 basis points through the first half of this year. These are strong returns in markets that clients are interested in. So I'm not sure we see this as a needing to be defensive. I think quite frankly, we see ourselves as being able to talk in high quality conversations with both institutions and in platforms, giving access to higher quality alternative investment content. And so we see this, you know, the client that we spoke about in Q3, it's a client we've had for 10 years. The thing I'd have been concerned about is if they'd have moved to a competitor rather than if their strategy changed. We return good value to them, around 2% over that, annually over that period every year. What we care about is making sure that we're relevant to clients now. And I think I'll pivot back to some of the other questions. The direction of travel we see is in a high desire for customized content, content that actually answers clients' challenges and problems in diversified portfolios that are able to navigate the volatility in markets. And I think you're going to see that getting challenged. And as you see index performance perhaps being challenged as well, you're going to get a view on whether passive and how much passive will be part of your portfolio. But I don't think it's not something that I'm sitting here worrying about. I know the strength of our business and the offering that we have.
Antoine Forterre : Thank you, Mike. David, we'll try again. You should have a request to unmute. [indiscernible].
Unidentified Analyst : Okay, great. I hope you can hear me?
Robyn Grew: Yeah.
Unidentified Analyst : Sorry about that before. I'm not sure what happened at my end. I did try on pressing it but anyway great to have the opportunity to ask question. You’ve got three from me, please. So firstly, just on short-term performance, obviously you had a strong start to the year generally, but then it weakened in Q2 and looks like it's softening again further in July in -- across the main strategies. What's really been driving this, if you can point to sort of a few key drivers? I appreciate that there are different trends within there that are driving this, but is there something you can sort of point to? I guess, what needs to improve or change for the performance this time by going the right way again for you? Yeah, second question. Natural assets roughly halved since the full year. I guess look quite low, given if you just take half on profits less the full year, dividend from last year. So what were the other drivers behind that movement? And then finally, the big mandate redemption, you're referring to Q3. I mean, the only one I can think of is that kind of side that you talked about before coming and is probably some changes in plan. So what was it then to come out? And so, I guess, are you disappointed to see them leave so soon after coming in? Thank you.
Robyn Grew: I think there is, so let's talk a bit about the market backdrop. As we say, volatility is what it is. There are many, many macroeconomic pieces that are afoot, which gives the volatility. And sometimes we're on the right side of that and sometimes we aren't. I think the important piece here is that we don't tend to look at performance on the daily or weekly or monthly basis. We're investing in the long term. Our clients are looking for the return on strategies that they understand. They understand what they do in markets and how they're supposed to navigate them. So for me, as I think about this, I think about, half the Western population going to elections. We've got interest in FX rates moving around at the moment. We've had a selloff in the tech companies. We have still two wars waging. These are and we still have speculation about interest rates. So all of that combines into having some volatility and that means we're going to find ourselves both on the right side of that and sometimes in the short term that will cause us headwinds in performance in some of our strategies but certainly not all of our strategies. That's the point of having a diversified book of business. So short term, I don't sit here looking at the short term performance of each strategy, I'm afraid, and we're here for the long term.
Antoine Forterre : I'll talk about financial assets. So between December and June, the movements you see are really driven by the receipt of some performance fees, which were, as you recall, kind of lower than average, historical average. Then we pay compensation and we pay dividend. On top of that, there's a buyback that explains the decrease in net financial assets. The quantity we're looking at as well is net tangible assets and that's been, as you'd expect, fairly steady over the periods at around $0.60 per share.
Robyn Grew: And the last question.
Antoine Forterre : And not from mandates.
Robyn Grew: Yeah, so we don't comment on clients and who's redeeming.
Antoine Forterre : And then I have a question from [Karan], which I'm assuming is on behalf of somebody else.
Unidentified Analyst : I'm struggling to access the webinar. The first, can you talk more broadly about your pipeline and which strategies or funds are seeing particular engagement? And the second, absolute return flows in Q2 were negative. Can you provide some more color on that, please?
Robyn Grew: I'll do the first, then you can do the second. So we see, as you've seen, we continue to see a high pick up in interest in our credit strategies, in solutions, and so the broader answer of how do we fix particular problems. We continue to see interest in our systematic long-only, in fact, across the board. But if I was going to choose the two areas of real focus institutionally, I'd say credit, in both public, private, long-only, long/short, and in solutions particularly. But as we talk to platforms as well, and actually more broadly than that, I should mention 1783 and our multi-strat, which is that access point into solutions more generally, so hopefully that gives you the guidance on where we're having a lot of conversations.
Antoine Forterre : And then on Q2 absolute return flows, the main driver was a single fan to actually struggle with Q1 and Q2, taking profits in part of their allocation, in part because of the lack of private realization that Robyn mentioned in the past. So it's this thing of rebalancing, accessing liquidity as people wait for private realizations to come through. That seems to be it.
Robyn Grew: Thank you very much.
Antoine Forterre : There is nothing else. Thank you very much. Have a good summer.
Robyn Grew: Thank you.